Operator: Good morning. My name is Sylvie, and I will be your conference operator today. Welcome to Interfor Corporation's Fourth Quarter 2025 Results Conference Call. [Operator Instructions] During this conference call Interfor's representatives may make forward-looking statements within the meaning of applicable securities laws. Additional information regarding the risks, uncertainties and assumptions of such statements can be found in Interfor's most recent press release and MD&A. And I would like to turn the call over to Mr. Ian Fillinger, Interfor's President and CEO. Mr. Fillinger, you please go ahead.
Ian Fillinger: Thank you, operator, and thank you, everyone, for joining us this morning. With me on the call, I have Mike Mackay, our Executive Vice President and Chief Financial Officer; and Bart Bender, our Senior Vice President of Sales and Marketing. I'll start off by providing a brief recap of 2025 and then pass the call to Mike and Bart to cover off Q4 and the outlook. 2025 was another year marked by historically weak lumber prices and significant market volatility. Yet we continue to execute with discipline and strengthen the company in several important ways. I thought a few notables were worth mentioning. We took steps to reinforce liquidity and extend our financial runway, which Mike will speak more to. We also took decisive portfolio actions, adjusting operating postures at several mills and permanently closing 2 high-cost facilities in the U.S. South, which were indefinitely curtailed in 2024, ensuring our production profile is better aligned with demand. Across the platform working capital performance remained a highlight, logistics and lumber inventories were reduced significantly, a meaningful achievement in a down cycle. We advanced the final phase of our Thomaston mill in Georgia with commissioning of the new sawmill expected in early March. We anticipate this asset will be a top decile performer and a key contributor to our long-term cost structure. And importantly, employee turnover continued to improve, reflecting the work our teams are doing on engagement and retention. 2026 will be hard to predict. However, we're well positioned to deal with uncertainty. We've implemented clear, measurable balance sheet guardrails to ensure resilience through the cycle and a commitment to directing free cash flow toward debt reduction targets. We also defined cost structure targets benchmark to trough cycle pricing, ensuring that further price weakness can be absorbed without eroding liquidity, and that we can continue to create long-term value even in constrained markets. Till we have more clarity on the economic impacts of political developments in both the U.S. and Canada, we remain prudent in our approach to capital allocation. Our foundations are strong. Our footprint is diversified, and we continue to see opportunities to improve the business without large capital commitments. With that, I'll now turn the call over to Mike to walk through the quarter in more detail.
Mike Mackay: Thanks, Ian, and good morning, everyone. I'll begin by providing comments on the fourth quarter earnings, followed by an overview of our recent balance sheet initiatives and then end with some guidance on go-forward capital allocation priorities. . From an earnings standpoint, Interfor posted negative $29 million of adjusted EBITDA in the fourth quarter. These results reflected weak lumber market conditions, ongoing trade measures and production curtailments across the platform. Nevertheless, our results in the fourth quarter were an improvement compared to the negative $36 million of adjusted EBITDA we posted in the third quarter after normalizing for the large noncash duty expenses that impacted that period. The sequential improvement was driven by several offsetting factors. From a sales perspective, realized selling prices were weaker on average due to slightly lower market pricing in most regions as well as a full quarter of higher countervailing antidumping duties as well as the introduction of a 10% Section 232 tariff in October. From a cost perspective, however, production cost per unit improved by 4%, as higher conversion costs as a result of our downtime were more than offset by positive inventory valuation adjustments as lumber prices began to improve towards the end of the year. Despite the negative adjusted EBITDA, cash flow from operations was breakeven for the quarter due to a notable recovery of working capital driven by reduced inventories and lower receivables. Notably, looking back over the last 3 years of this prolonged market downturn, cash flow from operations has been positive in each of 2023, 2024 and 2025, totaling just over $300 million over that 3-year period, even amidst the very weak lumber market conditions. This reflects focused efforts on working capital management, as Ian alluded to, tax recoveries and ongoing initiatives to improve our cost structure and optimize the operating platform. Turning now to the balance sheet. While admittedly, our leverage is not where we'd like it to be at this point in the cycle, we continue to take proactive actions to help us weather the storm of the current volatile markets. During and subsequent to the quarter, we completed a series of complementary financing transactions, including our previously announced equity raise as well as several new net debt-neutral refinancing initiatives. Taken together, these initiatives bolster our liquidity, effectively clear out our debt maturity runway for 2026 and 2027 and provide us both the time and flexibility to make the appropriate operating decisions if necessary. At the end of the year, our net debt to capitalization ratio was 36.5%, and we had pro forma available liquidity of $482 million. This level, combined with anticipated divestiture proceeds over the next year or so, will provide significant financial flexibility to navigate ongoing volatility. These divestitures include the ongoing sale of our B.C. Coast forest tenures as well as anticipated sale of real estate at our former Summerville and Meldrim facilities in the U.S. South. Turning lastly to capital allocation. Following the completion of several major capital investments in recent years, culminating with the completion of our Thomason project in Q1, we're continuing to anticipate lower spending going forward. Total capital spend for 2026 is expected to be between $75 million to $80 million and preliminary estimates for 2027 are expected to be in the range of around $60 million, focused almost entirely on maintenance. In terms of capital allocation, as Ian alluded to, any free cash flow will be directed solely towards leverage reduction. The timing to reduce this leverage will ultimately depend on lumber prices and market conditions. However, our priority in the near term remains simple and clear. We're encouraged by some early signs of improvement in the lumber markets in recent weeks, though our planning assumptions remain conservative. With that, I'll now turn the call to Bart to provide some commentary on the markets.
Barton Bender: Okay. Thanks, Mike. Good morning, everyone. As we look ahead to 2026, the economic environment remains uncertain. Trade and geopolitical developments continue to introduce incremental risk could slow both interest rate easing and broader economic activity. That said, the U.S. economy continues to show resilience around growth and employment. Current expectations suggest that meaningful interest rate easing could shift to later in 2026. From a housing perspective, affordability continues to be challenged. Mortgage rates are expected to remain at or near levels at least in the first part of 2026. Repair and Remodel largely influenced by home purchases is expected to remain relatively flat at the current levels. Turning to supply. We're beginning to see the impact of production curtailments across the industry. Some curtailments are formally announced, many are not. One useful indicator is shipments of Canadian lumber into the U.S. markets. Over the last 6 months, shipments annualized to approximately 8.5 billion board feet compared to just over 10 billion in 2025 and 11.5 billion board feet in 2024; that's a material drop in supply. And that, when you couple that with the curtailments in the U.S., altogether, these reductions are starting to balance the lumber markets. Market activity suggested destocking was taking place with our customers for the back half of 2025 as really there was no incentive to carry any extra inventory in the marketplace. This would mean that mills were not seeing true levels of demand, which given supply reduction should be interesting, as we enter the seasonally higher lumber consumption months of spring. Logistics has been relatively stable. However, the recent winter is impacting service levels and causing some delay in shipments. We expect that demand for lumber was also impacted during these weather events. As always, Interfor will continue to monitor our customers' needs and adjust our production levels accordingly. With that, I'll turn it back over to you, Ian.
Ian Fillinger: Thanks, Mark. Operator, we're ready to take any questions.
Operator: Thank you, sir. [Operator Instructions] First question will be from Matthew McKellar at RBC Capital Markets.
Matthew McKellar: Just wanted to follow up on Bart's comments about some delays in shipments. It sounds like logistics were kind of stable before that. How significant is the disruption you're seeing today? And you gave a sense that things can normalize fairly quickly? Or do you expect some tightness there for some time to come?
Barton Bender: Yes. It's not at a prolonged situation. I think the winter weather that you saw kick in into some unusual places and also the usual places in the North have caused some railcar delays and some truck delays, which will impact shipments, but those will clear out in a couple of weeks, 3 weeks. So I'm not expecting anything prolonged.
Matthew McKellar: And then you seem to take quite a bit of downtime in the Pacific Northwest in Q4. Have you been able to restore your operating stance in that region to start 2026 with how prices have trended?
Ian Fillinger: Yes, Matt, Ian here. Thanks for the question. We are adding incremental hours in the Pacific Northwest right now. And the way we do that is obviously, you look at the pricing that's available to those operations, build the order file that's cash positive over a multi-week period and then slowly bring hours into the operation. So I would say it's a very conservative risk adverse adding of hours that really it depends on pricing, demand and order file. So there is -- there are hours that are increasing slightly but not at a rapid pace at this point.
Operator: Next question will be from Ketan Mamtora at RBC Capital Markets.
Ketan Mamtora: Ian, Bart, maybe to start with, can you give us some perspective of what your channel inventories are at the moment? And what is your sense of inventories in the channel at the moment?
Barton Bender: Yes. Thanks, Ketan. Yes, as far as our view of the dealer and distribution channels across our lines, they appear to be on the lean side with some recent volatility, making it a bit harder to decipher. But there seems to be little willingness to build any inventory as Bart had alluded to, just given market uncertainty at this time. So I would -- that would be our best view at this point, Ketan.
Ketan Mamtora: And then your inventories, Ian?
Ian Fillinger: Yes. We're comfortable with our inventories. We've got them very lean and we're running the operations relative to the sales price and the demand on the order file. So yes, very good and comfortable position in the inventory. There's no access around any kind of materiality in any one of our regions across the company. So very, very tight at this point. But appropriate given where the market is at.
Ketan Mamtora: Got it. And then as we think about the first quarter, Ian, how should we think about your production in the first quarter? I know in Q4, you all had talked about 250 million board feet of sort of curtailments. Is there a way to think about Q1?
Ian Fillinger: Yes. I would guide to the early part of Q1 here is some small incremental hours particularly in the South and the Pacific Northwest that are happening now. But Ketan, going out further, we're just -- we're reviewing it on a week-to-week basis and just making sure that we're not adding hours and building inventory. So it's really got to have the right price and the right order file in front of it. So incrementally, hours are up a bit for the first part of Q1 to be determined for the last part here.
Ketan Mamtora: And then just last question...
Ian Fillinger: Very cautious right now.
Ketan Mamtora: Understood. That's helpful. And then just last one for me. On the balance sheet side, do you think everything that you had to do kind of to get into a position where you think that, that's comfortable for you? Do you think that's behind you are there other options that you all are considering? You've got duty deposits. Is that an option to kind of monetize?
Mike Mackay: Mike here. I think the moves we made here in the last quarter, including the equity raise have been very meaningful is how we think about them, really cleared out the maturity runway in the next few years, in our view, in terms of flexibility and in terms of whatever market conditions come our way. So I think in a large part, it's been completed. I would say they were proactive moves on our part to get ahead of it and anticipate the downside scenarios. . Duties wise, I think with all the ongoing uncertainty around this file and moving pieces politically, it's probably lower down the list of things to consider, but do feel the other moves we made have really moved the dial substantially here.
Ketan Mamtora: Fair enough. That's very helpful. I'll jump back in the queue. Good luck.
Operator: [Operator Instructions] Next question will be from Sean Steuart at TD Cowen.
Sean Steuart: Mike, I want to follow up on the balance sheet. On the debt side, you did a lot of -- made a lot of progress this quarter. You're getting amendments from creditors on the covenant calculations. I guess what I'm trying to square up here is beyond the minimum liquidity requirement, can you give some context on concessions you guys are giving with -- to get those amendments? And I'm thinking in terms of any incremental increase in your overall borrowing costs? Are there any sensitivities around that you can give us?
Mike Mackay: Yes. Sean, good question. I would say, as I addressed on the last question. This is really proactive measures on our side. There would be -- our new notes are obviously priced a little higher than our existing structure. But overall, if you look at our interest costs, they're in the 6.5% range. So there would be some incremental borrowing costs that come with this, but nothing too meaningful in a couple of million dollar range type of thing, Sean. So I wouldn't say there's concessions, the equity raise I would say, went a long way for our lenders in terms of showing we're willing to do to help ourselves. And so I think that was all part and parcel with this package. Our new issuance on debt is really looking at funding some maturities that are coming our way. So we have some of it fall off as we go ahead here under the normal course.
Sean Steuart: Okay. It's encouraging to see that progress. Can you give us a sense, Mike or Ian, the cadence of the asset sales, both the tenures and the idle sawmill sites. The cadence of those proceeds and overall magnitude that you're targeting?
Mike Mackay: Yes, I'll take that one, Sean. So for the B.C. Coast, I think our guidance previously was in around $30 million to $35 million, that still stands. I think we've always said on this file, it's timing that's a little more uncertain. But I think for planning purposes, that's really a fair number to look at over the next 12 to 18 months. The asset sales, a little more hesitant to give some guidance there. We're in an active marketing process right now. I would say it's meaningful, though. So order of magnitude in and around the same as the B.C. Coast, but I don't want to get too much more specific, those properties are in attractive geographic areas in growing cities and so pretty meaningful real estate divestiture proceeds. Also, 12 to 18 months will probably be a decent guidance for that, Sean.
Sean Steuart: Okay. One last question. Ian, you touched on the following -- or the lower labor turnover, presumably you're referring to the U.S. South there, can you put some numbers around that, that I know that's been a challenge for the industry for the last several years, but any numbers you can put around changes in that turnover rate?
Ian Fillinger: Yes, Sean, it has been. And it has been 2 years in a row where we've reduced our turnover rates, particularly in the South as the focus mills that we've identified as the mills that needed the most help to make progress on that. But Overall, in the South, I believe it's around 3% or something improvement. But in some of the focus mills were there were higher turnover rates, those are in double-digit percentage improvements through the retentionary initiatives that we put in place. So yes, really good progress by our operating and HR teams to address that. Well, obviously, lots of work still to do, but 2 years of trending in the right way has been encouraging.
Operator: [Operator Instructions] And at this time, Mr. Fillinger, we have no other questions registered. Please proceed.
Ian Fillinger: Okay. Thank you, operator. As always, Mike, Bart and I are available to respond to any further questions as is Bryan Fast, our Director of Investor Relations. Thank you, everybody, for attending, and look forward to talking to you next quarter. Have a great day.
Operator: Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.